Operator: Hello And good morning, and welcome to the Sabre Corporation's Fourth Quarter and Full Year 2024 Earnings Conference Call. My name is Didi, and I will be your operator. As a reminder, please note today's call is being recorded. I will now turn the call over to the Senior Vice President, Investor Relations and Treasurer, Brian Evans. Please go ahead, sir.
Brian Evans: Good morning, and welcome to our fourth quarter and full year 2024 earnings call. This morning, we issued an earnings press release, which is available on our website, at investors.sabre.com. A slide presentation, which accompanies today's prepared remarks, is also available during this call, on the Sabre Investor Relations webpage. A replay of today's call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the effects of growth strategies, transactions and bookings growth, results of our technology transformation, commercial and strategic arrangements, and our financial guidance and targets, free cash flow, and liquidity among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-Ks for the year ended December 31, 2024. Throughout today's call, we will also be presenting certain non-GAAP financial measures. References during today's call to adjusted EBITDA, adjusted EBITDA margin, and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Participating with me are Kurt Ekert, President and CEO, and Mike Randolfi, Chief Financial Officer. Scott Wilson, EVP and President of Hospitality Solutions, will be available for Q&A after the prepared remarks. With that, I turn the call over to Kurt.
Kurt Ekert: Thanks, Brian. Hello, everyone, and thank you for joining us today to discuss our fourth quarter and full year 2024 results. Our performance this quarter and our expectations for 2025 highlight the continued progress we are making executing against our strategy and strengthening our balance sheet. Turning to slide four, you can see an overview of the topics that Mike and I will cover this morning. First, I will review our 2024 business highlights, including our financial performance. Then I will provide an overview of the progress we have made on our growth strategies, how these focused investments address the evolving global travel industry, and how they are reshaping Sabre Corporation's growth trajectory. Next, Mike will take you through our fourth quarter and full year 2024 financial results, and discuss our 2025 guidance. Please turn to slide six. Sabre Corporation had a successful year in 2024. Our team delivered on our strategic technology transformation objectives, including significant product and platform enhancements, positioning us for meaningful growth from commercial wins. Steady revenue growth combined with effective cost management resulted in 550 basis points of margin expansion and a 53% year-on-year increase in adjusted EBITDA, which totaled $517 million for the year, above our initial guidance of greater than $500 million provided last February. I commend our team members around the world for their hard work and dedication towards positioning Sabre Corporation for accelerated growth in 2025 and beyond. Turning to slide seven. Travel Solutions achieved solid financial results in 2024, due to higher average distribution booking fees, from a richer customer mix, double-digit year-on-year growth in hotel distribution bookings, and contributions from new air distribution business. Notably, our exit rate for GDS industry share was up one percentage point versus the prior year. Looking forward, we expect our year-on-year distribution bookings growth to continue building momentum, driven primarily by the progress we are making on our growth initiatives. Turning to slide eight. Our hospitality solutions team delivered strong results in 2024, as total revenue reached an all-time high, due mainly to increased CRS transactions. This revenue performance was driven by new customer deployments and a favorable mix within our customer base. Overall, strong revenue growth and continued operational focus contributed to a $25 million increase in adjusted EBITDA to $38 million, in line with our target. Revenue growth accelerated into year-end driven by higher transactions, in part due to the Hyatt implementation which is beginning to generate meaningful increases in CRS transaction growth. Please turn to slide nine. And finally, before moving on to our strategy update, please note the successful completion of our technology transformation objectives. Our team, in partnership with Google, has delivered the migration of more than 99% of our compute capacity to the cloud, achieving greater than $150 million of cost benefits versus both 2019 and 2023 and establishing a strong foundation for future innovations. Now looking ahead. Please turn to slide eleven. The global travel industry has experienced substantial change in recent years. As the marketplace continues to evolve, our strategic focus to innovate, and deliver value to our customers and stakeholders remains unchanged. First, generating free cash flow and delevering our balance sheet remain our top financial priorities. We are pleased with the progress we are making on this front, and Mike will share greater detail shortly. Second, we are investing to drive sustainable growth. To achieve this, we are prioritizing three areas: a modern technology stack, an open marketplace, and intelligent retailing solutions. We believe these areas, the last two of which encapsulate our growth strategies, are essential in today's dynamic travel marketplace. I will now go into more detail around the promising results that we are already realizing from our growth strategies, which are expected to drive significantly greater volume and revenue growth starting in 2025. On to slide twelve. Travelers and businesses increasingly require immediate access to real-time data and information that can only be delivered by powerful, modern technology infrastructure. Having achieved the objectives of our technology transformation, Sabre Corporation is able to design, build, and deliver advanced solutions that not only address customer and market demands, but also fuel our strategic growth plans. Operating in a modern, open, and cloud-based technology stack means we can deliver products to customers with critical SaaS capabilities including more seamless integration, excellent performance and scalability, high availability, and enhanced security. In addition, AI-powered capabilities are increasingly differentiating winners from losers. Our partnership with Google harnesses the power of its advanced AI capabilities and infuses high-quality data into our next-generation products and solutions. We are also leveraging classical and generative AI that enable our teams to write better code at a faster pace, to diagnose and resolve problems swiftly, and improve engineering productivity and throughput. Now I will review our specific strategies starting with OpenMarketplace. On to slide thirteen. Sabre Corporation is transforming our historical distribution offering, namely the GDS, into a broader modern open marketplace. The foundational elements are four of our previously articulated growth strategies: multisource platform, distribution expansion, hotel B2B distribution, and digital payments. Sabre Corporation's multisource platform provides a ubiquitous, efficient, open marketplace for buyers and travelers by standardizing and consolidating fragmented air content sources, including NDC, low-cost carrier, and traditional. Our early adopter program already connects content from over 50 LCCs to approximately 500 agencies, and we now have NDC integrations with 27 airlines currently live on our platforms, including recent expanded relationships with Emirates, Qantas, TAP Air Portugal, and Air India. Our distribution expansion initiative focuses on growing our share in key geographic and market segments. In 2024, our commercial team signed new business totaling between 30 to 40 million air distribution segments from global agencies. From this, we expect to realize significant volume growth in 2025, which I will touch on shortly. Sabre Corporation's enhanced hotel B2B distribution platform is on a strong growth trajectory. As we continue to build on our leading position, our success in adding new global hotel partners and our investments in product enhancements are driving higher attachment rates. As I mentioned earlier, hotel distribution bookings were up double digits year-on-year in 2024, driving a 16% increase in global booking value moving through our platform, totaling $21 billion. We believe there are significant growth opportunities ahead. Last, our digital payments business contributes to our open marketplace by reducing friction and bringing efficiency to sellers and buyers. The digital payments team continues to win new business and drove a 12% year-on-year increase in gross spending through the platform to $14 billion, resulting in a 45% increase in payment solutions revenue. On to slide fourteen. The third key area of our strategy is delivering intelligent retailing solutions to our airline and hotel customers. Sabre Mosaic, our modernized and enhanced travel platform that over time will replace traditional PSS systems, is by design open, modular, and flexible, with AI-powered revenue optimization solutions that are already delivering results for our customers. Notably, Sabre Mosaic is also PSS agnostic. In 2024, we signed Sabre and Mosaic commercial agreements with Virgin Australia, Riyadh Air, and Air Serbia, providing momentum and strong market interest. Additionally, in the fourth quarter, we were pleased to announce a renewal of our technology partnership with American Airlines, including a multiyear extension of the PSS. In hospitality solutions, we have a leading CRS platform, SynXis, and a growing presence in property management. SynXis Retail Studio brings accretive retailing capabilities on top of these existing platforms. Retailing offering enables hoteliers to optimize revenue with greater personalization of offers, including ancillaries and third-party content, and improved selling conversion rates. Based on early results, properties utilizing SynXis Retail Studio experienced a greater than five times increase in hotel ancillary sales year-on-year. On to slide fifteen. Sabre Corporation's open marketplace and retailing solutions are resonating with customers and are reshaping our growth trajectory. In 2025, we expect double-digit growth for air distribution bookings, hotel distribution bookings, and hospitality solutions CRS transactions. We expect the majority of growth in air distribution bookings will come from a number of signed, but not yet fully implemented agreements, including the largest Korean OTA as well as World Travel Inc, and another large win we signed in 2024. While we are not at liberty to disclose this customer's name, they are a rapidly growing top-five agency in North America focused on the loyalty and credit card space. This agency generated nearly 25 million airline segments in 2024. We were pleased to win a commitment of strong majority share of this business and are steadily progressing through the migration process, which we expect to complete in 2025. In addition, we expect our multisource strategy to drive incremental NDC and LCC volumes. Regarding industry share, to better represent the growing total addressable market for air distribution bookings that we are targeting with our multisource platform, including NDC, LCC, and Edifact content, moving forward, we will focus on total distribution bookings growth rather than solely GDS industry share. We believe this approach more accurately reflects the evolving distribution marketplace, and we are confident that our projected double-digit growth in air distribution bookings in 2025 demonstrates our strengthening competitive position. In hospitality solutions, we expect double-digit CRS transaction growth in 2025, driven by existing business and the implementation of signed new business, including Hyatt. Mike will provide additional details on the drivers of our air distribution and hospitality CRS volume growth expectations for 2025 shortly. In summary, we are confident that we have the right strategies and solutions in place to drive significant acceleration in volume and revenue growth for Sabre Corporation in 2025 and beyond. I will now hand the call over to Mike to walk you through our financial performance and forward outlook.
Mike Randolfi: Thanks, Kurt, and good morning, everyone. The Sabre Corporation team delivered strong financial results in 2024. We generated year-on-year revenue growth, invested strategically to support innovation, and effectively managed cost, all of which resulted in higher margins and strong flow-through to the bottom line. Adjusted EBITDA increased by more than 50% in 2024 to $517 million, above our initial guidance of greater than $500 million provided last February. On the strength of this financial performance, we achieved our free cash flow objective for the year, improved our capital structure, and made significant advancements on each of our long-term strategic priorities. Turning to slide eighteen, total fourth-quarter revenue increased 4% versus last year to $715 million. Distribution revenue totaled $500 million, a 5% increase compared to $476 million in Q4 2023. Total distribution bookings were 81 million in the quarter, a 4% increase compared to 78 million in Q4 2023. Our average booking fee was $6.17 in the fourth quarter, up 1% year-on-year. IT solutions revenue was roughly flat year-on-year in the fourth quarter and totaled $145 million. Hospitality Solutions Q4 2024 revenue increased 8% to $81 million, primarily driven by an 8% increase in CRS transactions. Segment adjusted EBITDA in the fourth quarter was $9 million, an improvement of $4 million versus the prior year. Sabre Corporation's adjusted EBITDA of $115 million in Q4 2024 versus $96 million in Q4 2023 represented a $20 million improvement year-on-year. Strong cost discipline helped drive our adjusted EBITDA margin from 14% in Q4 2023 to 16% in the fourth quarter of 2024. Moving to our full-year financial performance. We achieved our revenue, adjusted EBITDA, and free cash flow objectives for 2024. We delivered revenue of $3.03 billion, up 4%, and adjusted EBITDA of $517 million, up 53%. Additionally, hospitality solutions delivered $38 million of segment adjusted EBITDA growth of $25 million, in line with our targeted objective. Free cash flow for the year was negative $14 million, including $19 million in debt modification costs related to refinancing we completed in November. Excluding the accounting treatment of this opportunistic refinancing, we generated positive free cash flow in 2024. We ended the year with a cash balance of $746 million. Now looking to 2025. Please turn to slide twenty. As Kurt mentioned, our targeted strategies are resonating with customers and position us to grow revenue and transactions significantly faster in 2025 as compared to 2024. I'll now take a moment to provide more clarity on the key contributors to this growth. Starting with air distribution, as you can see in the chart to the left highlighted in green, the vast majority of our expected double-digit bookings growth this year will come from already signed commercial wins that are being implemented over the course of the year. These deals include the two North America wins that we announced during the third quarter last year along with significant contributions from agency wins in Europe and Asia. Importantly, we continue to assume only a nominal contribution from overall industry growth in 2025. Based on recent airline and industry commentary, the outlook for both corporate and international travel, where Sabre Corporation is more heavily indexed, remains positive. The chart on the right outlines our quarterly expectations for air distributions bookings growth. Beginning with the second quarter, we expect to see the sequential pace of year-over-year bookings growth accelerate through the balance of the year as these implementations come online. Overall, we expect more than 30 million incremental air bookings in 2025 as compared to 2024. Turning to slide twenty-one. In hospitality solutions, we also expect double-digit year-on-year growth in CRS transactions, with the vast majority of incremental volumes coming from signed, but not yet implemented business. Hyatt is expected to approximate roughly half of CRS transactions growth in 2025. Moving to the chart on the right. We expect mid to high single-digit year-on-year growth in CRS transactions in the first quarter followed by a steady acceleration throughout the remainder of the year. Turning to slide twenty-two and our guidance. In the first quarter, we expect flat to low single-digit year-on-year revenue growth with adjusted EBITDA of greater than $150 million. Based on our timing and implementation of our new commercial wins, we expect our quarterly revenue and adjusted EBITDA will likely not follow historical seasonal patterns. As we move through 2025, we expect the ramp of our commercial wins will result in significant increases in year-on-year quarterly revenue and adjusted EBITDA. Unlike previous years, we expect the first quarter to represent the lowest revenue and adjusted EBITDA of the year. With regards to free cash flow, as a reminder, we typically experience higher working capital and cash outflows in the first quarter due to the seasonality of our business. This is generally due to the timing of when we receive airline collections versus when we make agency incentive payments in the first quarter. We also pay annual incentive compensation payments during this period. As a result, we expect first-quarter free cash flow to be similar to last year and positive in the remaining quarters of 2025. For the full year 2025, we expect high single-digit year-on-year revenue growth, adjusted EBITDA of greater than $700 million, and free cash flow of greater than $200 million. In addition, we expect capital expenditure of approximately $85 million to support our strategic investments and cash interest expense of about $375 million. Given the atypical seasonal pattern of revenue and adjusted EBITDA that we expect in 2025, I will provide additional color on how we expect our primary financial metrics to move in 2025. For the full year, we expect to achieve high single-digit revenue growth primarily from the increases in air distribution bookings, hotel distribution bookings, and hospitality solutions CRS transactions, as well as revenue growth in IT solutions that we expect to resume in the second half of 2025. We also expect average booking fee and gross margin as a percentage of total revenue to be marginally down year-on-year as a portion of the expected new bookings in 2025 will have a lower average booking fee driven by geographic mix, NDC, and LCC growth. Further, the completion of Sabre Corporation's technology transformation objective is expected to drive adjusted technology costs lower versus 2024. We expect the lower cost to compute from operating in the cloud and the elimination of the bubble cost required in 2024 to cloud migration will be partially offset by increased hosting costs related to higher volumes and further investments to support our strategy. On SG&A for the full year 2025, we expect a slight year-over-year increase. Overall, we expect accelerating revenue growth coupled with expense management will drive robust flow-through of gross profit dollars to the bottom line. Turning to slide twenty-three. We advanced each of our strategic priorities in 2024. With the actions taken over the last couple of years to realign resources, we are a more efficient and cost-disciplined organization. As Kurt highlighted, the momentum within our growth strategies is expected to drive significant contributions and top-line revenue growth. As a result, we remain on track and expect to achieve the greater than $700 million of adjusted EBITDA we communicated last February and as part of our 2025 guidance. Turning to slide twenty-four. We completed several refinancing transactions in 2024 to strengthen Sabre Corporation's balance sheet while also better aligning projected free cash flow generation with upcoming debt maturities.
Brian Evans: As mentioned earlier, in November 2024, we opportunistically extended $1.6 billion in debt maturities to the fourth quarter of 2029, significantly improving Sabre Corporation's debt maturity profile. Our next large maturity will not come due until June 2027. As a result of the refinancing activities during 2024 and the financial improvements achieved, we are well-positioned to repay our 2025 debt maturities with cash on hand as they come due. Turning to slide twenty-five. In closing, our strategic focus remains unchanged: to generate free cash flow and delever the balance sheet through sustainable growth and innovation. We believe our accomplishments in 2024 have reshaped Sabre Corporation's growth trajectory and positioned us well to deliver shareholder value in 2025 and beyond. And with that, operator, please open the line for questions.
Operator: Thank you. As a reminder, to ask a question, please press star one one on your telephone keypad. To withdraw your question, please press star one one again. Please stand by while we compile the Q&A roster. And our first question comes from Josh Baer of Morgan Stanley. Your line is open.
Josh Baer: Great. Thank you for the question. I was hoping you could walk me through the process of implementing new agency just as far as the commercial win. I am wondering how that ramp looks, comes online, over time. Can you talk through any risk to that and just a little more insight into the process of onboarding that?
Kurt Ekert: Josh, thank you. This is Kurt. So we have a tremendous amount of historical knowledge and experience in implementing new business, whether it is with an existing client or whether it is with a new client that we have won. There is not a single one-size-fits-all. Typically, for example, with an online travel agent, there may be specific functionalities that you have to develop that they may have had with somebody else or they may have uniquely geographically. Once you develop those, it is a fairly seamless and I would say easier integration with an OTA. And then it is up to them on their side in terms of how quickly that ramps. By comparison with brick-and-mortar leisure agencies or TMCs, given that they typically run either single automating meaning single GDS or multi-automated but they run multi-automated typically by geography. So they may run in one call center or one geography, one vendor, and then somewhere else another one. And so there is a significant change effort that is required by the brick-and-mortar or TMC agency on their side because the GDS approximates an operating system in many ways for them. So while there are things that we have to do on our side to drive the implementation, oftentimes, the timeline is predicated on the actions of the customer or the prospect. In terms of the projections that we have given today and the ramp that we have given today, we have great confidence that we will achieve those outcomes because we are well underway with many of those large opportunities. We are in sync and in concert both commercially and technically with those customers, and we have a team that specializes in doing this. So we have the experience to do it. There is a lot of work that has to happen execution-wise by us and by our clients. But we are well underway towards achieving those objectives.
Josh Baer: Thank you. Very helpful. And then I was just hoping you could unpack the incremental $100 million in cost efficiencies a bit further. Is that sort of realizing the completion and end of the tech transfer bucket? Thank you.
Mike Randolfi: Yes. Thanks for the question, Josh. So, yes, the $100 million, if you recall when we had provided a walk last year from 2023 to 2025, indicated there were two big things we were undertaking. We had a cost efficiency program as well as tech transformation, which was all our cost savings in total, $250 million. $150 million of that was realized in 2024. The remaining $100 million, which is tech transformation, all of which the actions have already been taken and completed as we exit 2024, are savings from the original tech transformation initiative we undertook starting around 2019, 2020. And we have achieved the objectives. And so that is what you are seeing in the P&L this year.
Josh Baer: Okay. Thank you.
Operator: Thank you. Our next question comes from Alex Irving of Bernstein. Your line is open.
Alex Irving: Hi. Good morning, gentlemen. A question for me, please. Are your expectations for revenue for passenger boarded evolution this year? I know the big step up sequentially from Q3 beyond normal seasonality. Any color on what is driving that reason? How do you see that in 2025?
Mike Randolfi: Yeah. Thanks, Alex. First, we do not really manage the revenue per passenger boarded. I mean, there are a couple of, you know, there are two different constructs there. Part of the revenue in airline IT is based on passenger boarded. Other portions, roughly half the revenue, is driven by something other than passengers boarded. What I would say is as we look to the airline IT solutions revenue line, and we look throughout the year, I would expect in the first half of the year, Air IT revenue to be down slightly year over year. That is because we had some revenue in 2024, associated with carriers that had previously demigrated prior to 2024. But there was a small tail of that revenue in the first half. That is completed in the first half, and then when we get to the second half, we start to see more of the benefits of higher PPEs from existing carriers. And then we are also expecting to see some additional revenue from our Sabre Mosaic. So we would expect IT revenue to be down slightly on a year-over-year basis in the first half. Then we would expect it to resume growth in the second half, and we would expect it to demonstrate growth for the year overall.
Alex Irving: Excellent. Thank you.
Operator: Thank you. Our next question comes from Jed Kelly of Oppenheimer. Your line is open.
Jed Kelly: Hey. Great. Thanks for taking my questions, and nice job reiterating on the guidance. First question, you know, we have seen some capital come into some of these newer types of travel agents that are leaning heavily into NDC. Can you talk about just how you think that impacts Sabre Corporation? And then, you know, I was late to joining the call, but can you sort of talk about just what is implied in your full-year outlook, you know, the corporate side versus leisure? Thank you.
Kurt Ekert: Jed, this is Kurt. Thank you for the questions. First of all, on the capital infusion coming into the sector, I think that speaks to the attractiveness of the sector generally, especially corporate travel. You are speaking about the likes of Navan, TravelPerk, and SpotNana. We generally have relationships with most or all of these companies. And we believe with our multisource content platform, that we actually provide the best connectivity for them to all sorts of content, NDC, LCC, and traditional end effect. Do not forget that the algorithmic capabilities we put in terms of parsing that shopping is very fundamental in the corporate space because the relevance of shop returns is critical. So, you know, we applaud the capital coming in and whether it is a more traditional or a new entrant player, we intend to do business robustly with all of them.
Mike Randolfi: Yeah. With regard to as we look at, quote, travel expectations and kind of our overall base assumption. First, I would just highlight, Jed, our baseline assumption is flat to nominal industry growth. Which is, as you know, has been our assumption for quite a while at this stage. Now with that being said, you know, when you look at the overall backdrop, it is actually fairly constructive and positive. There are still expectations for increases, meaningful increases in business travel spend. And when you look at airline capacity increases, there is still some meaningful growth internationally, particularly as yields domestically have softened. So with that being said, you know, there is reason to believe that we could be better than our industry assumption of flat to nominal, but that is our assumption. What I would highlight is quite frankly, we are focused on that, which we can control. As you can see, we won significant business this year. And we expect to have significant ramp-up in volume based on what we have won and based on what we control.
Jed Kelly: Thank you.
Operator: Our next question comes from Victor Cheng of Bank of America. Your line is open.
Victor Cheng: Hi. Good morning. Thanks for taking my questions. Couple, if I may. I guess, first of all, thinking about being, you know, like, well, the air bookings growth and how it ramps up throughout the year, it almost implies a substantially higher growth in Q4 and to some maybe the growth going into 2026 is quite material as well. Is that how we think about it? And then on the win, on this close win, how do we how should we think about the impact to revenue per booking? Is it higher or a little bit lower? How does it affect the mix?
Kurt Ekert: Victor, let me take the first, and then we will try to do the second as well. So on air bookings growth, you are right. You will see a significant ramp through the year. As we implement and realize the wins that we have had, that implies strong momentum into Q4 and then into 2026, that is clearly an expectation that you should have.
Mike Randolfi: Yep. You know, and with regard to as we think about, like, booking fee and impact, you know, as we talked about in the prepared remarks, you know, first, as we look at the EBITDA improvement coming up in this year, we expect it to be driven to the largest degree by gross profit dollar growth from the double-digit booking distribution growth that we are seeing. Now with that being said, I would highlight is some of these volumes are coming with a slightly lower margin and slightly lower booking fee. So, you know, we ended the year for 2024 at $5.98. I would expect that the average booking fee in 2025 would be slightly below that, so I would expect the trends overall to be lower. I would expect gross margin to be slightly lower, but I would also expect that we are going to generate substantial gross profit dollars and that is what is going to drive the lion's share of our EBITDA growth this year.
Kurt Ekert: Yeah. And just to add on to Mike's point, with respect to the undisclosed North American customer, given that booking fees in North America tend to be slightly lower than the balance of the world, and there is significant volume associated with this win that will have a slightly dilutive effect on the average.
Victor Cheng: Okay. Yeah. Very clear. Thank you. And then I think this quarter, you did not mention about share gains. I do not know whether you have some color on whether how, you know, how you perform relative to the market in Q4 specifically, and also, on the mix of NDC bookings as well, given your, like, between nine airlines now, any updates on you know, whether you are seeing NDC volumes ramping on your end?
Kurt Ekert: Yeah, Victor. In Q4 2024, as indicated, we exited the year up about one percentage point year on year. We are winning that pretty broadly against the competition. With NDC specifically, NDC remains a low single-digit component of our overall distribution bookings total. We do expect from that very low basis to see significant or exponential growth in 2025 and beyond. We think the solution we have provided in terms of content connectivity coupled with the leading functionality for TMCs, for brick-and-mortar, and for OTAs will make us the NDC provider of choice over the long term.
Mike Randolfi: And the only other thing I would just remind you is we have double-digit bookings growth this year. I think that highlights our competitiveness in the marketplace.
Victor Cheng: Eric, say and maybe if I can squeeze in one last one. The wins that you mentioned and especially the undisclosed ones, generally speaking, is it a win versus other GDS peers, or is it gonna, you know, is it more reintermediation? How should we think about the trend going forward as well? On kind of, you know, reintermediation or maybe winning more on the OCC t fun. Obviously, yes, guided for 2025, but, you know, the portion of that. But maybe if we think about medium time as well, what are the potential there?
Kurt Ekert: Yeah. Thanks, Victor. In 2025 specifically, the vast majority of the growth you are gonna see is the realization of new wins as we articulated. Now a portion of that an increasing portion of the pie will be for NDC and for long-tail LCC content that we did not traditionally have. As you go out beyond 2025, we expect NDC and especially the LCC long tail to become more meaningful contributors to our growth. So we felt very good about what that mix is gonna be over time.
Victor Cheng: Got it. Perfect. Thank you.
Operator: Thank you. Our next question comes from Dan Wasiolek of Morningstar. Your line is open.
Dan Wasiolek: Hey, great. Good morning, guys. Thanks for taking the question. So just with your kind of communication that gross margins in 2025 might be slightly lower, just as a result of signing all this new business. Is that a result, like you have talked about, of just kind of the mix of that new business, or is there has there been some kind of change in the competitive environment with incentives? Thank you.
Mike Randolfi: Yeah. First, you know, thanks for the question. First, let me also just highlight when you look at our trajectory, one, we expect to generate significant gross profit dollars. Albeit at a slightly lower margin. Second, if you look at 2024, we increased our EBITDA margin by over 500 basis points. And if you do the math between 2024 and 2025, we expect significant EBITDA margin accretion. What I would say is, you know, I do not see we have not seen any significant change in the competitive environment. It has been a highly competitive environment, and we work to compete effectively. It really has more to do with the mix of types of transactions that are being added in terms of bookings. It is a higher mix of NDC, a higher mix of LCC content. And so with that, some of that does have a lower average booking fee. And slightly lower margin. But again, very accretive from a gross profit dollar perspective.
Dan Wasiolek: Okay. Perfect. Congrats on the quarter.
Operator: Thank you. Our next question comes from Deepak Mathivanan of Cantor Fitzgerald. Your line is open.
Jack (for Deepak Mathivanan): Hey, guys. This is Jack on for Deepak. Just a high-level one for me. You talked a little bit about AI in your prepared remarks. Can you discuss where you see the most opportunity from running AI across your business kind of going forward and 2025 and maybe even beyond? Thanks.
Kurt Ekert: Yeah. Thanks, Jack. Near term, the two biggest opportunities are in the efficiency or the productivity of our customer service operations and then number two is on developer productivity and throughput. Meaning for the thousands of developers we have enabling them to put out code at a faster pace. Are things that we are stepping into and realizing within this calendar year. Longer term, there is a transformative opportunity really for how consumers shop for and engage with travel through e-commerce. And so right now, we are, for example, embedding Google's Gemini AI code within our revenue optimization products that we deliver for airlines, for example. You will see us begin to promulgate that fully into the Sabre Mosaic stack as well as into our distribution footprint, and so we think that is going to, one, help make our competitors or, excuse me, our customers more competitive. And then two, help Sabre Corporation turn that into revenue over time. But near term, again, more on the first two, medium to long term more on the latter.
Jack: Got it. Thanks.
Operator: Thank you. Our next question comes from Wei Peng of Mizuho. Your line is open.
Wei Peng: Oh, thank you, guys. This is Wei calling for James. First of all, congrats on the solid results. Most of my questions have been answered. Just want to double-check since you guys called out. Right? Higher will be like, half of the incremental transactions for the house in 2025. I was wondering if that happens to carry a little bit different margin profile versus the rest of the transaction as well. Thank you.
Kurt Ekert: Wayne, thanks for the question. I just for clarity, I believe what you asked is the margin profile for Hyatt different than the other HS customers? We do not break out the details of individual customer contracts. Hyatt will be, as Mike indicated, roughly half of the overall CRS transaction growth that we expect to see in HS this year. And it, like, the balance of business we are bringing on is accretive to HS. And we would expect if you look at hospitality solutions, if you look at EBITDA, you will see continued EBITDA margin expansion overall year on year.
Wei Peng: Great. Thank you.
Operator: Thank you. I am showing no further questions at this time. I would like to turn it back to Kurt Ekert for closing remarks.
Kurt Ekert: Alright. Well, thank you. I could not be prouder of the team at Sabre Corporation. And look forward as we go into the future in sharing additional progress on how Sabre Corporation is performing. I do appreciate your support and interest. Thank you.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.